Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Tower's Second Quarter 2017 Earnings Call. Now, at this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I will now turn the conference over to your host, Igor Khislavsky. Please go ahead.
Igor Khislavsky - American Tower Corp.: Good morning and thank you for joining American Tower's second quarter 2017 earnings conference call. We have posted a presentation, which we will refer to throughout our prepared remarks under the Investor Relations tab on our website, www.americantower.com. Our agenda for this morning's call will be as follows: first, I'll provide some brief highlights from our financial results; second, Tom Bartlett, our Executive Vice President, CFO, and Treasurer, will provide a more detailed review of our financial and operational performance for the second quarter of 2017 as well as our updated full year 2017 outlook; and lastly, Jim Taiclet, our Chairman, President, and CEO, will provide some brief thoughts on our international business. After these comments, we will open up the call for your questions. Before I begin, I'd like to remind you that this call will contain forward-looking statements that involve a number of risks and uncertainties. Examples of these statements include our expectations regarding future growth, including our 2017 outlook, capital allocation, and future operating performance or acquisitions, technology and industry trends, and any other statements regarding matters that are not historical fact. You should be aware that certain factors may affect us in the future and could cause actual results to differ materially from those expressed in these forward-looking statements. Such factors include the risk factors set forth in this morning's earnings press release, those set forth in our Form 10-K for the year ended December 31, 2016, and in our other filings we make with the SEC. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained in this call to reflect subsequent events or circumstances. Now, please turn to slide four of our presentation, which highlights our financial results for the second quarter of 2017. During the quarter, our property revenue grew nearly 15% to $1.64 billion. Our adjusted EBITDA grew 17.5% to approximately $1.02 billion. And our consolidated adjusted funds from operations increased by over 22% to approximately $725 million. In addition, our consolidated AFFO per share increased by nearly 22% to $1.68 and net income attributable to American Tower Corporation common stockholders increased by more than 114% to $344 million or $0.80 per diluted common share. And with that, I'd like to turn the call over to Tom.
Thomas A. Bartlett - American Tower Corp.: Hey. Thanks, Igor. Good morning, everyone. As Igor just highlighted, we generated another quarter of strong results, posted double-digit growth across our key metrics. Our consolidated organic tenant billings growth was nearly 8%. We continued to delever naturally to 4.5 times net debt to annualize adjusted EBITDA and we grew our common stock dividend by about 21%. In addition, we've repurchased more than $400 million of our common stock, bringing our year-to-date total repurchases to over $640 million. With that, let's dive into the details around our second quarter performance and updated outlook for the year. So if you'll please turn to slide six. Consolidated property revenue grew by nearly 15% in the second quarter including tenant billings growth of about 12% and organic tenant billings growth of around 8%. Our U.S. property segment revenue growth for the quarter was 8.1% including organic tenant billings growth of 6.2% or 60 basis points higher than Q2 of last year. This strong growth reflects a healthy demand environment which drove near record levels of new business. Volume growth from co-locations and amendments contributed about 5% to the organic growth rate while pricing escalators contributed about 3%. This was partially offset by churn of about 1.8% on an annualized basis, just 40 basis points of which was associated with operational churn from the big four core networks. International organic tenant billings growth in Q2 was over 400 basis points higher than that of the U.S. at over 10%, continuing to reinforce the high growth nature of our international business. Mexico continued to lead among major markets in Latin America, delivering organic tenant billings growth of about 12%, driven by 4G investments being made by several carriers in the market. Notably, organic tenant billings activity in the quarter did not include any significant impact from the new wholesale network being built out in Mexico, which we would expect to start generating some initial cash leasing revenue growth for us beginning in the third quarter. In EMEA, our largest market in the region, Nigeria, performed in line with internal expectations, while Ghana led the way with organic tenant billings growth of about 20%. Lastly, in India, organic tenant billings growth was over 10% even after taking into account elevated consolidation related driven churn. The strong leasing activity across our international footprint reflects our tenants continuing need to invest in their networks as their customers consume more and more mobile services. Within our international segment, contractual pricing escalators driven primarily by local CPI indices in most of our international markets contributed nearly 5% to our international tenant billings growth, while volumes from co-locations and amendments provided an even greater contribution at over 7%, and this was partially offset by churn of about 2%, inclusive of the impacts of the ongoing carrier consolidation process in India. Meanwhile, the day one revenue on sites we've added since Q2 of last year as well as the partial quarter impact of the Viom portfolio contributed an additional 4.3% to our consolidated tenant billings growth. Our new build program also remained active and we constructed over 460 sites globally this quarter, predominantly in our international markets, where average day one NOI yields were over 10%. Turning to slide seven, our strong revenue generation led to double-digit growth in both adjusted EBITDA and consolidated AFFO for the 17th consecutive quarter, with growth of over 17% and over 22%, respectively. Consolidated AFFO per share and AFFO attributable to common stockholders per share grew nearly 22% and 19%, respectively. This growth reflects our ability to translate strong organic tenant billings growth, prudent investments in new assets, and strong cost controls across the business into compelling operating results. Now turning to slide eight, let's now take a look at our updated expectations from 2017. At the midpoint of our revised full-year outlook, we expect property revenue to grow by more than 14% to over $6.5 billion, up approximately $25 million versus our prior outlook. This reflects slightly better than expected global new business assumptions, some incremental straight-line revenue, about $35 million in positive FX impacts relative to our prior outlook, as well as lower expected churn rates, particularly in India where we anticipate some consolidation related churn will be delayed until later in 2017 and subsequent years. We expect these benefits to be partially offset by about $17 million in lower FX neutral pass-through revenue, primarily attributable to our EMEA segment caused by lower fuel prices in the region. As part of our property revenue outlook, we continue to expect strong organic growth in 2017 in both our U.S. and international businesses, with consolidated organic tenant billings growth in the 7% to 8% range, supported by our global scale and diversification. Given our strong first half results and indications of continued network investments by our U.S. tenants, we are maintaining our outlook for U.S. organic tenant billings growth of over 6% for the year. This reflects the expectation that 2017 U.S. co-location amendment activity will be up 15% to 20% versus 2016. I'd also like to make clear that we have still not included any material leasing expectations from the FirstNet deployments or the expected rollout of the 600-megahertz spectrum in our current outlook for 2017. In our international markets, we're now projecting organic tenant billings growth of nearly 10% at the midpoint, up slightly versus our prior outlook. This is being driven by continued strong gross new business commitments across our international footprint, particularly in Latin America. Additionally, our international churn expectations are down as compared to our prior outlook numbers, driven by our revised churn forecast in India, which is now 2% lower than our prior outlook assumptions. This reduction is timing related as some of the consolidation related churn we had previously assumed for 2017 is being pushed into the fourth quarter of 2017 and 2018. For international as a whole, churn is now estimated to be in the mid-2% range for the year versus the low-3% range in the prior outlook. I'd like to point out that our updated (11:15) outlook does not include any of our pending acquisitions such as those in Paraguay, Mexico, or Colombia. We are also raising our outlook for adjusted EBITDA by $45 million or over 1%, which reflects the continuing high conversion of organic tenant billings growth to the adjusted EBITDA line, our continued focus on cost controls, an increase in straight-line recognition, and about $16 million in increased FX benefits. Importantly, our adjusted EBITDA margin, which we now expect to be about 61.6% for the year, has increased sequentially for four straight quarters. Going forward, we would expect this broad trend to continue as we generate organic growth on our extensive existing portfolio. We expect to translate this increase in adjusted EBITDA into higher consolidated AFFO and, as a result, are raising our 2017 consolidated AFFO outlook by $55 million or 2% at the midpoint to nearly $2.9 billion. The main components of the increase are about $35 million in higher cash adjusted EBITDA. $16 million in more favorable net interest and $10 million in lower expected maintenance CapEx, partially offset by a $6 million increase in expected cash taxes. This implies $6.64 of consolidated AFFO per share for the year at the midpoint, reflecting a per-share growth rate of around 14.5%. Turning to slide nine, we deployed nearly $1 billion of capital in Q2 including approximately $79 million for acquisitions and over $400 million for stock repurchases. We spent more than $182 million for discretionary CapEx to build new sites, enhance the capacity of existing sites, strategically invest in land, and to bring newly-acquired sites up to AMT standards with start-up CapEx. We also spent about $28 million on non-discretionary maintenance and corporate CapEx, representing about 1.7% of our consolidated revenues for the period. In addition, we paid about $291 million in common and preferred dividends in the quarter, growing our common stock dividend by around 21% and our payout ratio to around 38%. All the while we continued to delever and ended the quarter at a last quarter annualized net leverage ratio of 4.5 times. The strength of our capital deployment strategy continues to be evidenced by our track record of growth across our key financial metrics, as well as rising returns on invested capital across our business. The U.S. ROIC, for example, increased over 1.2% year-over-year to 11.4%, with international ROIC rising 130 basis points to 10.3%. In both our U.S. and international markets, this ROIC expansion continues to be driven primarily by organic new business growth. On a consolidated basis, our ROIC for the quarter was 10.6%, which represents another record for us and underscores the success of our long-term strategy pursuing geographic diversification, investing primarily in macro-wireless sites around the globe. As you can see on slide 10, our capacity for discretionary capital allocation continues to grow, and we expect to use that capacity to help us drive compelling total returns for our stockholders. Given our 2017 outlook for adjusted EBITDA, of nearly $4.1 billion, we anticipate having about $1.7 billion in incremental borrowing capacity for the year, which is about $200 million higher than our prior outlook. Since our expectations for our common stock dividend and CapEx program remain unchanged, we expect this incremental capacity to flow directly through to our discretionary capital allocation program. We have spent over $640 million year-to-date for share purchases, have spent around $600 million for acquisitions, and have committed about $300 million to pending transactions in Colombia, Paraguay, and for the hundred or so remaining Axtel sites in Mexico that we've not yet closed. This still leaves us with over $1 billion remaining to allocate, at our discretion, for the balance of the year between additional acquisitions and share repurchases, assuming our ability to achieve appropriate levels of internal rates of return. This is on top of the nearly $2 billion in discretionary spending we've already deployed year-to-date. Importantly, the vast majority of these investments have been funded using the nearly $1.5 billion in cash from operations generated during the first half, which has increased itself by about 13% from the prior year. So, turning to slide 11 and, in summary, we extended our track record of delivering compelling growth across our key financial metrics in the second quarter, highlighted by our 17th consecutive quarter of double-digit growth, property revenue, adjusted EBITDA, and consolidated AFFO. At the same time, we continued to delever, grew our common stock dividend by over 21%, and simultaneously repurchased over $400 million of our shares. Our first half 2017 results and our expectation of continued strong secular growth trends in mobile in the second half of the year have enabled us to, once again, raise our outlook for our key financial metrics. In addition, we expect to have over $1 billion to potentially deploy either for incremental acquisitions and/or share repurchases through the balance of the year, further enhancing our ability to drive compelling total returns for our shareholders. And with additional catalysts like FirstNet, the 600-megahertz rollout in the U.S., and the wholesale network being built now in Mexico on the horizon, we're also very excited about our growth prospects beyond 2017. And, with that, I'll turn the call over to Jim. Jim?
James D. Taiclet, Jr. - American Tower Corp.: Thanks, Tom, and good morning to everyone on the call. In keeping with our annual second quarter earnings call theme, my comments today will focus primarily on American Tower's international operations and how we have positioned the company to benefit from the accelerating growth in mobile broadband worldwide. But first I'll begin with some highlights regarding our U.S. business which continues to provide a solid, enduring foundation for American Tower. As of the end of the second quarter, our 40,000 U.S. communication sites contributed about 55% of our property revenue, so over half, 63% of our property gross margin, and 65%, or almost two-thirds, of our property segment operating profit. And as you saw this morning, we had another quarter of U.S. organic tenant billings growth above 6% and have reiterated that expectation for the full year. U.S. mobile data usage continues to grow at about 30% or more per year, and our tenants continue to spend an aggregate of roughly $30 billion in annual wireless CapEx to deliver the network performance necessary to support unlimited data plans. These ongoing trends support attractive NOI yields across our U.S. portfolio as well. Consequently, we continue to believe that the U.S. will remain the core engine of cash flow growth and margin expansion for the company for many years to come. Turning now to our international operations, we've expanded American Tower from what was essentially a U.S.-only business to a truly global organization with significant diversification across several dimensions. We have substantive positions on five of the world's seven continents, providing diversification across regions. We're a leading independent provider of communications infrastructure in a total of 15 countries, enabling diversification among countries and currencies. And we serve many of the world's leading mobile network operators within these markets across a range of 2G, 3G, and 4G platforms, and provide diversification among tenants and technologies. As of the end of the second quarter, our 107,000 international communication sites contributed about 45% of our property revenue, 37% of our property gross margin, and 35% of our property segment operating profit. These international sites are continuing to produce growth rates and returns that are significantly above even those of our high performing U.S. operations. For example, international organic tenant billings growth, as Tom said, was over 10% in second quarter, or more than 400 basis points above U.S. levels. NOI yields tell a similar story. On international sites that we have owned since the end of 2010, for example, U.S. dollar equivalent NOI yields in Q2 were nearly 21%, which is even higher than NOI yields on the equivalent U.S. vintage towers. Additionally, international sites added in 2011 and afterward are also yielding more than their U.S. counterparts at around 10% already today. In India, where much of the population is still primarily using 2G services, the 4G rollouts that have occurred to-date have already led to impressive monthly mobile data usage levels. Between 2015 and 2016, for example, mobile data usage in India increased by nearly 80% and annual growth rates of about 50% are expected through 2021. Trends in demand like this make India a key component of our international footprint and underlie our long-term commitment to building and sustaining a leadership position in the India mobile infrastructure industry. Now while we do expect some elevated levels of churn over the next couple of years in India as mobile operators consolidate there, we strongly believe that the resultant rationalized industry structure will lead to an even better long-term environment for robust tower leasing. With potentially four to six large scale well-capitalized mobile operators at the end of the day in India, we will then expect a rapid conversion of the country's massive subscriber base from 2G to 4G technology, which in turn will drive substantial network investment for many years. In addition, in markets like Mexico, Brazil, and others, we're seeing similar trends of more advanced handsets at ever-decreasing price points driving accelerating mobile data usage growth and increasing investments in 4G mobile broadband by large, multi-national mobile operators. As I talked about last year at this time, our focus on the three critical core competencies of gathering physical, intellectual, and organizational capital has been instrumental in developing a unique global competitive advantage in telecom real estate for American Tower. We believe that the strategic position that we have established on the world's five most populous continents will enable ATC to prudently grow our portfolio even further through acquisitions and new builds. Moreover, our broad-based and highly diversified strategic positioning also provides us with the opportunity to be highly selective when it comes to inorganic growth or M&A. There's no need for us to chase over-priced deals or pursue asset classes likely to deliver returns less attractive than our existing tower base. Just like in the U.S., there's significant operating leverage inherent in our international macro tower and indoor small cell businesses. 85% to 90% of every dollar of organic revenue growth typically flows straight through to the operating profit line, whether that growth is from a tower in Boston or a tower in Mexico City. Moreover, we believe that our international organic growth trajectory is still in its early stages and will continue on for many years. Our addition of nearly 80,000 primarily younger, lower initial (24:15) tenancy to margin international sites in just the last five years will further extend ATC's growth horizon. At this point, having integrated these sites into our operational and commercial framework, we are poised to transform them into higher tenancy, higher margin, and higher cash flow assets at a faster pace than we've experienced in the U.S. So in closing, our view is that American Tower is uniquely positioned on a global basis as a clear leader in the mobile infrastructure industry. We similarly believe that ATC is ideally suited to serve today's primary tenants, which are multi-national mobile network operators, as well as future tenants that may emerge in the IoT space or elsewhere. Our company's foundation is our high quality, comprehensive U.S. portfolio, which we expect to generate significant organic growth for a number of years to come. And we have an international portfolio of nearly three times the size of our U.S. footprint, including key strategic markets like India, Brazil, Mexico, and Nigeria, that we expect to provide a turbo charger to the U.S. growth. Together, our domestic and international operations form a global presence that we believe is unmatched. And as we look forward, our focus is on translating that global presence into an attractive combination of growth and yield to our investors far into the future. So with that, operator, please open the call for questions.
Operator: Thank you. And first question in queue, we have Amir Rozwadowski, Barclays. Please go ahead.
Amir Rozwadowski - Barclays Capital, Inc.: Thanks very much, and good morning, folks.
James D. Taiclet, Jr. - American Tower Corp.: Hi, Amir.
Amir Rozwadowski - Barclays Capital, Inc.: Jim, I was wondering if we could dial in to the U.S. a bit here, you know clearly there's been a lot of discussions around spectrum deployment plans. You know I realize you folks don't want to get into specific carrier commentary but perhaps you can provide us with some color on where we are in the process for ensuring that the appropriate constructs are in place such as either availability or gear or perhaps MLAs and your take on when some of those new spectrum deployment plans could commence.
James D. Taiclet, Jr. - American Tower Corp.: Amir, good morning. No, I think your point is a correct one, which is the carriers are in the very best position to give you a – sort of, a rollout schedule for various bands of spectrum, et cetera. But what we are doing in preparation for that is just what any other supplier in any other industry, and whether it's the aerospace industry, automotive, or what we do, and that is to be fully prepared on the three dimensions that these purchase decisions are going to be made on, and that's schedule, quality, and cost. So from a schedule point of view, we have 40,000 towers, including 11,000-plus from the Verizon portfolio that are ready to go right now for co-location and amendments. We've got a great team that can compress cycle times and get you on air quickly. So from a schedule perspective, we're literally ready to go with sites in great places all over the country. From a quality perspective, we spent 15 years building up an operational team in the U.S., including developing proprietary and other systems to make sure that we got the highest quality product out there, right? So we've got high structural capacity, we've got good ground space, we've got backup power if you need it, and again, on the scale that perhaps we have one peer in the U.S., but that's it. So we've got the quality, systems, people, and positioning to deliver a good product. And then lastly is cost, and we do have some contractual constructs that allow our customers to aggregate demand in a way that's designed to give them the lowest cost per square foot of real estate as long as there's volume commitments there to support that. So I think we're hitting, and prepped, and ready to get in the game for these deployments right now on schedule, quality, and cost dimensions that are going to make our portfolio pretty attractive.
Amir Rozwadowski - Barclays Capital, Inc.: And if we think about that within this construct of sort of the above 6% site rental growth that you folks are now seeing in the marketplace, do you view that as incremental growth with respect to your business?
James D. Taiclet, Jr. - American Tower Corp.: What we would need to do is get an order book built (29:10) from our carrier customers, and so how we do our guidance as you know, Amir, is on an annual basis when we have application flow, when we have had meetings with our local customers to get a sense of their immediate plans, and then we also incorporate public statements from the carriers, and importantly, so the aggregate CapEx spend that they plan and are executing on. For example, this year we said it's about in aggregate $30 billion in that range again. That supports 6-plus-percent growth for our company, and as long as we see those indicators out there and get that application flow, we'll be able to give you some tighter ranges as we go forward. But this year, it's going to be 6%-plus, as far as the forecast goes. Next year, we'll have – in 2018 when it gets closer, increasing information visibility. And then, of course, in our fourth quarter call early next year we'll give you that forecast.
Amir Rozwadowski - Barclays Capital, Inc.: Great. And then just one follow-up, if I may, Tom. On the capital allocation, obviously, we saw you folks pursue a mix of buyback as well as acquisitions. You had mentioned you still have about $1 billion, I believe, in firepower that you can put to work here. How do we think about allocation plans going forward? I mean, obviously, there's a lot of discussions on potential assets available in the marketplace. I would love to hear your thoughts as you stand today.
Thomas A. Bartlett - American Tower Corp.: Amir, I think you're well aware of the approach that we take and how we value assets, how we look at share repurchases. And it's going to be consistent methodology going forward. It's where can we drive the best IRR. And depending upon the market, if we can drive higher IRR in a particular asset in the U.S. versus international, then that's how we'll execute the plan. And so when we look at valuations in each of our local markets, it's all done in local currency. It's all done with local cost of capital assumptions. But then we look at that transaction on a U.S. dollar basis versus what kind of accretion that we might be able to generate over the long-term versus buying back a share of stock in terms of what our own math looks like, if you will, in terms of what our share price is from our perspective, in terms of how it's priced. So it's a continual process of what we've done over the last 10 years. And we look at each and every investment opportunity uniquely. But then we look at it in terms of how it will impact the business overall. And so that's why in the first six months we've had a pretty balanced approach, I think, in terms of buying back shares as well as deals that we've done in the marketplace. We do have some pending transactions going forward. And so, with the additional $1 billion that I talked about in the script, we'll continually look at assets that might come available in the business versus what we think the value creation might be from buying back a share of stock.
Amir Rozwadowski - Barclays Capital, Inc.: Great. Thanks very much for the incremental color.
Thomas A. Bartlett - American Tower Corp.: Sure.
Operator: And our next question is from the line of Jonathan Atkin, RBC Capital. Please go ahead.
Jonathan Atkin - RBC Capital Markets LLC: Yeah. So I wondered if you could comment medium to longer term in terms of the target mix that you're hoping to generate, domestic versus international. And then, as we look at the pace of your results this past quarter, you mentioned FirstNet and 600-megahertz. Is there any kind of shift to the cadence, perhaps an air pocket of demand, as carriers prepare to really ramp in the second half of the year and into 2018 that might have affected the growth rates in this most recent quarter. Thanks.
James D. Taiclet, Jr. - American Tower Corp.: Hi, Jonathan. It's Jim. Good morning. We don't have a target mix for domestic versus international. We're going to use the process that Tom just outlined, which is a sort of dynamic review of the M&A opportunities versus what we expect to generate as far as the core business over time, and therefore what the buyback performance could be over the next few years. And then we'll make and execute the deals that make sense for us and won't do the ones that don't. So there's really no target mix anymore. What I think is very interesting from a – basically a calculus perspective on our portfolio as it stands even today is that we've got three-times as many international towers as domestic. They grow faster and they're going to grow for a longer period of time no matter what happens in the U.S. And if you run that curve out 20 to 30 years, it gets really, really interesting. So that's the key to focus on, which is when you've got this core engine in the U.S. that's delivering really nice returns and increasing returns, as Tom outlined, and on top of that you layer this essentially larger number of assets that grow faster and for a longer duration, you aggregate all that math for a long-term period, it's quite compelling. So that's the real thing to focus on for us, is performing, and then we're going to augment both the domestic and the international assets whenever we can get returns that are as good or better as what we expect in that plan. On the sort of updrafts of demand and spending, our results even this year and the forecast indicate sort of 15% to 20% better new business than last year. And therefore, our application volumes are supporting that very, very high at the moment and going forward through the rest of the year. So – but there's already the energy behind a robust deployment going into 2018, and as I said earlier, when we get closer to the end of this year and start into next year, we'll have a lot more visibility even than we do today, but it should be pretty solid.
Jonathan Atkin - RBC Capital Markets LLC: And then in terms of the tenant composition, whether it's international or domestic, is there anything non-traditional that you're seeing, apart from purely RF gear, antennas, shelters, diesel generators, around content, caching, storage? What are your sort of expectations around that potential demand driver going forward?
James D. Taiclet, Jr. - American Tower Corp.: Jonathan, that's something that we've actually created and formed an innovation organization to pursue. I think there's some extremely interesting prospects in that that are too early to talk about now including agreements that we're under to keep it that way for the moment. But these sites, whether they're in the U.S. or Brazil or India, have some really important attributes. Right? We have in the U.S., 40,000; in India, 60-plus-thousand sites that have security, they have land, they have electrical power, and they have an Internet backhaul mechanism. So when you put those four attributes together, there are additional uses than traditional telecom gear that these sites can support and we're pursuing many of those.
Jonathan Atkin - RBC Capital Markets LLC: Thank you.
Operator: And next question is from the line of Ric Prentiss, Raymond James. Please go ahead.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks. Morning, guys, busy day.
James D. Taiclet, Jr. - American Tower Corp.: Hey, Ric.
Ric H. Prentiss - Raymond James & Associates, Inc.: Hey. You mentioned how you guys are going to continue to be highly selective, not chasing expensive deals or asset classes with lower returns. A, if you could talk a little about small cells? I know we've talked about it in the past. Your thoughts on the co-location on small cells, how it compares to macro towers, but also the thought of if there's enterprise business on top of fiber, on top of small cells help that kind of yield and that return but also what's the churn, capital expenditures, kind of competition? Just thinking of small cells and fiber enterprise and how that might fit into your thoughts on M&A or asset classes.
James D. Taiclet, Jr. - American Tower Corp.: Ric, good morning, it's Jim. So we've got running data on indoor DAS versus outdoor DAS or small cells. And that, again, small cells are – both active and passive, most DAS systems today have passive small cells, meaning that the base station is centralized somewhere in the building or somewhere outdoors and each antenna is running off the base station, active small cells is simply the intelligence in the electronics or in the cell itself. So we're in the small cell business in a very big way. We've got 315 indoor DAS or indoor small cell systems in the United States and more than 450 to 480 outside the U.S. So we're a leader in this indoor small cell space and number one independent provider in the U.S. So we're very familiar with this market. We also have 35 or so outdoor DAS systems, outdoor small cell systems up and running. We have some decent history there. The data basically says the tenancy on our venue base, which are indoor and stadium or racetrack-based small cell systems, is 2.3 tenants per system, and outdoor DAS is 1.2. So that sort of leads us to believe that the leasability of small cells is not necessarily a one to one situation if they're outdoors, because the RF requirement for a given carrier is not sort of consistent. In other words, one carrier might need 40% of the small cell as you've build outside, and another carrier might need 50%, but another 20% you haven't built yet. So this is the drag we see on actual systems that have been deployed for a few years. (39:44) we do regression analysis on all of our assets, and so we have lower leasing assumptions in our outdoor small cell bids than we do on indoor. So that's one aspect that you asked about, specifically. Essentially, our leasing performance is double on the indoor small cells than the outdoor. So we're focused on that. When you add the enterprise price space then (40:03) on the outdoor systems, you introduce, in our view, some drags on our base economics. One is, there's much higher churn rate; they're shorter contract durations. The SG&A and the sales force that you need to keep pursuing these enterprise deals is much greater. And, then, every time you get an enterprise contract, you might have to drag another bit of fiber down in another block or up another building riser to serve that new customer, which means you've got a CapEx drag. So these are some of the just quantitative factors that we've been incorporating and we'll keep dynamically incorporating them, as we evaluate these different assets. So we don't have any religious sort of prohibition against any kind of asset in any market. In fact, we think small cells and fiber in international markets may have better, much better in some cases, return prospects than the U.S. But, we're just using this dynamic assessment constantly, and these are some of the issues we've seen.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. And, then I think Tom mentioned a little bit about the public safety wholesale network in Mexico. But, if you could just kind of expound upon what you guys are seeing down there, the opportunity down there and kind of the timing?
Thomas A. Bartlett - American Tower Corp.: Yeah, Ric. No, we're seeing a significant amount of activity. A lot of applications. Some limited amount of business year-to-date. But, given the volume of applications and a lot of the activity that is going on, we would expect to start to see that really in the latter half of the – the end of the year. And, we think pretty heavily into 2018. So really excited about the prospects down there, and I think we have a really good relationship with the carrier.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. Thanks a lot, guys. Have a good day.
James D. Taiclet, Jr. - American Tower Corp.: Yeah.
Operator: And next question is from the line of Simon Flannery, Morgan Stanley. Please go ahead.
Landon Park - Morgan Stanley & Co. LLC: Hi. Yes. This is Landon Park on for Simon. Just wanted to touch base on the opportunity set that you see in continental Europe. Just how you're thinking about expanding your platform there in terms of pursuing additional smaller portfolios and working directly with carriers versus potentially looking at some larger M&A opportunities over there.
James D. Taiclet, Jr. - American Tower Corp.: We'll pursue our options in Western Europe and Central Europe just as we've pursued all the regions that we've entered. And that is to seek, as Tom has described clearly, assets that are going to augment the trajectory of our cash flow and return on investment performance over the next few years. So if we can get them at the right price, we, of course, love to do a sale lease-back with a big mobile operator in a country that qualifies in Western Europe for our participation. We've made two very selective, relatively medium-sized investments already in Germany, and most recently, France that we're actually quite excited about because they both presented in different ways the prospect to meet or exceed our investment criteria. So this is the same pattern we're going to continue to use. And if it's a large or a small acquisition, if it makes the cut, we'll figure out a way to finance it. We've done that in the U.S. with GTP which was substantial, with Verizon recently which was very substantial. And we've done it in our international markets too. So when the opportunity presents itself, large or small, carrier or third-party, we'll act if it meets or exceeds our investment criteria.
Thomas A. Bartlett - American Tower Corp.: And I'd just add, we have a terrific partner in the market that we're continually developing really strong relationship with PGGM. So that gives us an additional leg up, if you will, in terms of how we might think about financing some of those opportunities to the extent that they arise.
Landon Park - Morgan Stanley & Co. LLC: Okay. Great. And then just wanted to touch base on the recent Paraguay and Colombian acquisitions. Just Millicom indicated the 7% lease yield on those portfolios. I'm just wondering how you guys are approaching additional lease-up of those assets and what the outlook there is to get the yield maybe more in line with some of your other LatAm assets.
Thomas A. Bartlett - American Tower Corp.: I mean, our teams are really excited about bringing in this asset base into the portfolio. Paraguay will be largely managed, actually, out of our Argentina business. We think, collectively, there are going to be, on an annualized basis, between – those three pending transactions generating $30 million, $35 million of annualized revenue and $10 million to $15 million of EBITDA. So they'll fit really well into our portfolio in the region. As I mentioned before, Latin America is now one of our highest growing markets there. We have a terrific management team in place there. And so, I'm really excited about what we're going to be able to do with this portfolio and generating lease-up in the market.
Landon Park - Morgan Stanley & Co. LLC: Great. Thank you
Operator: And next question is from the line of Batya Levi, UBS. Please go ahead.
Batya Levi - UBS Securities LLC: Great. Thank you. A couple of follow-ups. First, in Mexico, how much do you think the new wholesale network could add to the 12% revenue growth that you're seeing today? And in the U.S., you mentioned 15% to 20% increase in overall activity. Can you give us a sense if there's any change in terms of the splits for amendments versus the new leases that you're seeing. And lastly, on India, can you quantify what you think the elevated churn could be as you exit the year and into 2018, and do you think that you can maintain 10%-plus growth as accelerating core growth offsets that pressure from churn? Thank you.
Thomas A. Bartlett - American Tower Corp.: Well, that's a lot of questions, but let me try to do that. I'm not sure what particular order this will be. But, with regard to the amendment activity in the United States, it's going to be very customer-specific, but overall I would say the amendment activity is still 55% versus, say, 45% on the co-location activity. And if I take a look at the pipeline of activity, I see it continually moving more and more towards co-location. So again, this huge cycle that we have, the sine wave as we've explained it before in terms of how customers are deploying, vary significantly by carrier. But that's kind of the overall consolidated view. On the opportunity in Mexico with the growth, it's really hard to say at this point in time. We see heightened application levels. We're starting to see some new business. We expect to be bringing the new business on more significantly in the second half of the year. What that's actually going to be doing next year to our overall growth rates in Mexico, I think we'll continue to monitor that and watch that and, as Jim explained, talk about that on our year-end call in terms of the impacts on that. But I would definitely think that that would be a positive for the marketplace as they continue to roll this out. And with regards to the Indian churn levels, I would expect at the end of the year and into 2018 to look at kind of high single-digit rates of return. I think given all of the – I mean churn rather; I'm sorry – high single-digit churn rates. But the good news, as Jim kind of outlined in that market, it's – we anticipated these kinds of activity, almost had to when you're looking at going from 15 carriers down to 4. And it's an acceleration right now, I think, of going to those four carriers. And there's a significant amount of growth in the marketplace with what RGeo (48:10) is doing. And with their 4G site presence that they have and the other carriers in the market with their 2G and 3G sites, they're all going to be moving those over to 4G sites over, I think, a very short period of time. And the market itself is growing equally as to what the U.S. in terms of usage, data usage per customer. So there are a lot of pieces going into the marketplace. I do expect to see increased rates of churn, as we've talked about in the past. And kind of what – I can't give you a sense in terms of right now is what will that incremental gross business be to offset that. And we're very excited about it. We think within a few years' time this market will be much more rational in terms of it being supported by four to five wireless customers, well-capitalized wireless customers. And in the market in India, we think that that really gives us a great opportunity for growth going forward.
Batya Levi - UBS Securities LLC: Okay. Great. Thank you.
Operator: Next question is from the line of Brandon Nispel, KeyBanc Capital Markets. Please go ahead.
Brandon Nispel - KeyBanc Capital Markets, Inc.: Hey, guys. Can you just talk about the differences that we're seeing within some of your peers on the domestic organic leasing activity? I mean, is there anything different structurally with contracts through pushing of towers that's leading to some outperformance? And then talk about a little bit different margin targets internationally as we look out maybe in the next couple of years. Are there differences regionally that could cause differences in some of the margin profiles of those businesses? Thanks.
James D. Taiclet, Jr. - American Tower Corp.: Brandon, this is Jim. I'll take the first one, and Tom can speak to the margin expansion. We can only talk about what we've done in our company. We're not aware or have visibility to the arrangements and operational plans of any other company in our space. But again, we've just been focused for the last 15 years since I got here on sort of replicating operational excellence from the aerospace industry where I and some of my colleagues have come from here. And in that industry, as I said, and others, schedule, quality, and cost management is what drives purchase decisions in your direction. So we've been trying to make sure that when it comes to a schedule perspective, we have the most reliable schedule when we get an application that the customer can count on in X number of days plus or minus Y number of days, they'll be able to go on air. And that has to do with things like Six Sigma, reducing variation and processes and cycle times, and things like that. So we had 15 years of replacing systems, hiring people, upgrading process – we call it process excellence actually of how we do application to Notice to Proceed, which is when you can install equipment on our sites. On the quality piece, we focused on the very best assets. So what we've bought over the years in the U.S., for example, have been either assets from among the best carrier operators or directly from third-party tower companies like us. We do this for a living. And some of those notable acquisitions and mergers have been SpectraSite back in 2005, the number three independent in our space at the time, very much built like ATC was and added the indoor DAS product as well. Then GTP, Global Tower Partners, again really well-run, fundamentally organized as a third-party tower company in the U.S., and then our last big acquisition from one of the best operators in the business anywhere in the world which was Verizon. Right? So we've really focused on the quality of the asset bringing them in. We've also built thousands of towers in the U.S. to our own spec. And when we buy assets, we have something that we categorize as start-up CapEx which brings those new assets to the quality standard in the field of ours, whether it's road access, structural capacity, et cetera. So we are focused on having high quality assets and a schedule that is very, very reliable. And when we aggregate supply, which is the number of towers in a country, for example, we can also provide, again, really compelling unit economics at high, high volumes for our customer. So we've been focused on schedule, cost, and quality for 15 years to get it to the highest level we hope in our industry, anywhere in the world. And that's what I think is driving our outperformance on organic growth notably in the U.S., but also elsewhere.
Thomas A. Bartlett - American Tower Corp.: And, Brandon, on the margin question, even on a reported level, if you look at Q2 this year versus Q2 of last year, we increased the reported margin by 70 basis points. And if you actually then exclude pass-through margin, or pass-through revenue, which doesn't drive margin and straight-line, we actually increased it by 130 basis points. And so, I think this is indicative of the engine that we've built here. And it's consistent if looking at the U.S. and the international businesses. I mean, if you take a look at the international business, again excluding the impacts of pass-through and straight-line, we've actually increased the margins a couple hundred basis points. And so, what's driving this is our conversion ratios. Right? And so we're able to generate – again, excluding pass-through, we're able to generate $0.90 of every incremental dollar down to the margin level and $0.80 of every $1 down to the EBITDA level. So as we continue to drive more organic growth, we should expect to see continued growth in our margins overall. There are differences in some of the markets. And it's largely a function of just how long we've been there. So if you look at Latin America where we have been the longest, the margins are the highest. And again, it's just a function of the kind of growth that we've been able to enjoy in the marketplace. Our overall SG&A, as I've been continually saying, is well under 8%. We're at about 7.7%. And again, with the kind of conversion ratios that I talk about, we should see declines in the overall SG&A expense per revenue dollar. So again, the engine will drive that kind of performance. I think our reported results really speak to it and, hopefully, we'll be able to enjoy that kind of growth going forward.
Brandon Nispel - KeyBanc Capital Markets, Inc.: Thank you for your answers.
Operator: And next question is from the line of Walter Piecyk, BTIG. Please go ahead.
Walter Piecyk - BTIG LLC: Thanks. It's Piecyk. Can you first talk about LatAm? I know Batya was asking earlier about Alton Redis (55:29), but it was the new leasing amendments was flat sequentially. Is AT&T basically done with you guys and is moving on to other tower companies? Or are you going to expect some level of sequential growth out of them, based on some investments that they're making going forward, is my first question. Thanks.
James D. Taiclet, Jr. - American Tower Corp.: I think on both scenarios, our customers are making purchase decisions on an ongoing basis. And we're putting out, as I said, the schedule, quality, and cost platform we think is attractive. And we can't comment on individual customer's activity levels or not. I mean, we just can't. But if you look at our aggregate results in Mexico and the United States, we're getting significant new business from the industry. And I think I just would leave it at that. And we continue to expect strong 4G investments from all carries in all markets. 5G is years away, I think, in scale especially – and especially from a mobile perspective. So we would expect most, if not all, large customers to continue to do business with us for the foreseeable future, frankly.
Walter Piecyk - BTIG LLC: Okay. And then the second question is there's been a lot of press about various tech companies testing or looking at 3.5 or even higher band frequencies, 28-gig and 38-gig. I think some of the implementations that they've talked about or at least that we've heard about, are not necessarily requiring small cells. They're thinking about taking the higher band frequencies and blasting them from macro towers. So I'm just curious if you could characterize whether there's been any change over the past three to six months in your dialogue with companies that are not wireless operators and their interest in your asset portfolio of domestic towers? Thanks.
James D. Taiclet, Jr. - American Tower Corp.: So as I said earlier, a lot of those discussions are proprietary at this point. But they're happening. We're – this is public, we're part of the CBRS Alliance which is the consortium of industry leaders that are trying to work across the aisle, so to speak, and also with government to get the spectrum out and available for traditional and for new types of uses, like IoT. And deployment location depends more on the topology than anything else. So if you're in suburban, rural transportation corridor situations, which is where 85% of people in America live, you're going to be using towers or other macro-type installations to project that frequency. So the higher the frequency, the closer they'll need to be together, which is a good thing for us. So again, I think introducing this kind of frequency is important for the industry. That's why we're in the CBRS Alliance. And I think it can be a catalyst to bring other types of tenants into the business for us. So that's partly why we're involved.
Walter Piecyk - BTIG LLC: And I realize it's too early, but I mean if it actually take – and these people are trialing it, so maybe they decide not to – but if they do decide to go forward, have you had a level enough discussions to get a sense of whether this will be material? Because I think most people looked at it as kind of rounding error, put a couple sites here and there. But again, if they make the decision to move forward on this, shouldn't that be a material new tenancy opportunity for you in your domestic business?
James D. Taiclet, Jr. - American Tower Corp.: It could be. And, in fact, we've been quietly working on vertical markets. I give our U.S. tower leadership a lot of credit for this. We've got customers like Gogo computers, when you use Wi-Fi in an airplane, that's one of our big customers. We've got other vertical markets like financial and government in certain respects. So we've been after this segment for a long time, the non-traditional segment. It's a substantial amount of our domestic U.S. business, upwards of 15%, 20%, and it includes broadcast customers and others that will augment our traditional mobile network operator customer base. So yes, potentially.
Walter Piecyk - BTIG LLC: Great. Thank you very much.
James D. Taiclet, Jr. - American Tower Corp.: Welcome.
Operator: Thank you. And our final question is from the line of Nick Del Deo, MoffettNathanson. Please go ahead.
Nick Del Deo - MoffettNathanson LLC: Hey. Thanks for putting me in. I'll keep it to one, given the time. So maybe a follow-up on the portfolio construction question we had earlier on U.S. versus international. So when you think about your overseas portfolio specifically, are there limits to how much exposure you want any one country or region as a share of the overseas total? And specifically, my question was prompted by a market like India where there seem to be a lot of assets that might change hands, you can potentially ramp up the size of your exposure a lot if you wanted. But it has idiosyncratic (1:00:40) risk factors and moving too heavily into any one market might throw off the diversification or non-overlapping sine wave dynamic that you often talk about.
James D. Taiclet, Jr. - American Tower Corp.: Our goal is to be in a position with a sufficient number of assets in any of the markets to be a partner for the large mobile operators in that market, or new entrants that come in. And so, traditionally, we seek to get from 25% to 35-plus-percent of the asset base. There are limits to going beyond that, some of them regulatory, some of them customer-related, and some of them risk management on our part. So for us to get above 50% of the asset base in any market, I think, is a pretty tall order just from all those other boundary factors. So I don't expect us to be doing that in many places.
Nick Del Deo - MoffettNathanson LLC: Okay. So natural limits on what you can do.
James D. Taiclet, Jr. - American Tower Corp.: That's right.
Nick Del Deo - MoffettNathanson LLC: Okay. Thank you.
Igor Khislavsky - American Tower Corp.: All righty. Thanks, everyone, for joining us this morning. And have a good day.
Operator: Thank you. Ladies and gentlemen, that does conclude your conference. We do thank you for joining while using AT&T Executive TeleConference. You may now disconnect. Have a good day.